John Hamilton: Good morning, everybody. This is John Hamilton. Thank you for participating in our first quarter 2025 conference call. I'm joined today by our CFO, Qazi Qadeer; our Technical Director, Richard Morton; our Head of Engineering, Kim Hansen; and actually some Board members as well. So we're well represented here today. I'll take you through a few slides. And as usual, we will leave some time for some Q&A at the end. I do note that we do have our Annual General Meeting of Shareholders following this call. So we will terminate the call reasonably timely today to make sure that we get prepared for the Annual General Meeting. As a reminder, today's conference call contains certain statements that are or may be deemed to be forward-looking statements, which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future developments and other factors we believe are appropriate under the circumstances. Although we believe the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. Next slide, please. As a reminder, the technology we use allows you to raise your hand if you have a question and we'll endeavor to answer that or you can type in a question, which will endeavor to answer. Sometimes we get similar questions, we'll aggregate those into a single question. And I'll remind you of how to do this at the end of the call as well. Next slide, please. So the quarter was reasonably uneventful from a P&L perspective as broadcast. We had revenue of $19 million, EBITDA of $15 million, and that was in line with guidance. We produced approximately 12,000 barrels a day with a crude lifting in the quarter of only 189 million barrels. Again, our liftings are weighted to the second, third and fourth quarters. We'll touch a little bit more on that. We had very positive developments on the 2P reserves, 42 million barrels of 2P reserves, which I'll come back to as well. And on the balance sheet, we remained very, very strong on the balance sheet with over $50 million of cash against gross debt following the bond issue of $150 million. On the right-hand side of this slide, we have today also reiterated our cash distribution, NOK 80 million to be paid in June as a return of paid-in capital rather than dividend. We've also yesterday announced the completion of the original NOK 100 million buyback program. We bought back 99.7 million shares ahead of our general meeting. The general meeting will seek to renew the authorities for the company to buy back its own shares. And the general meeting will also allow the company to cancel the shares that it is purchased. We purchased 3.5 million shares to date, and we will cancel those following the Annual General Meeting. That brings us to a cumulative cash distribution since we commenced distributing cash of NOK 500 million. So well on track there in that respect. Next slide, please. This is just a production update. We produced about 12,000 barrels a day, in line with our guidance of between 110 and 130 for the year. The data on the right-hand side of the slide gives us against current production, a reserve to production ratio of 10 years based on our 2P reserves and a reserve to production ratio of 16 years based on our 2P and our 2C. So we have a very, very long-dated portfolio of reserves here that should be able to maintain production at decent levels for many years to come. Next slide, please. We had very positive developments on our annual statement of reserves. If people didn't follow it, we announced over 300% reserve replacement ratio. That's kind of a mark of reserve health in the company. We were able to replace more than 3x the barrels that we produced in the year. That is also just year-on-year, a 22% increase. So that's a very, very healthy development for the company, bringing our 2P and 2C reserves to about 68 million barrels. The reserve improvement was based on improved recovery factors particularly in the Hibiscus area in Dussafu, but also a material upward revision in our Equatorial Guinea position. Next slide, please. So a reminder of our distribution. We've targeting NOK 500 million, NOK 45 million equivalent in during the cycle of 2025. We've today, again, announced an NOK 80 million return of paid-in capital, cash distribution, and we're renewing the authorities in the upcoming AGM to continue on the buybacks where we've completed again the NOK 100 million program that we initially set out. Next slide, please. A little something on our debt profile and our CapEx. We, on the left, have our debt profile, which is our bond issue with the amortization profile that we have in there. And on the right is our CapEx over the years. People who have followed us know that we had a couple of very heavy years this year is lighter. We've slightly nudged up our guidance for the year from $35 million to $40 million of CapEx this year. That is the success case in the Bourdon discovery, where we ended up doing some sidetracks and an extensive logging program, which has resulted in a material discovery of 25 million barrels gross in that particular area, which is probably going to lead eventually to a sanction on a development of that particular area. So it's very positive use of capital. Next slide, please. Our crude lifting schedule, this is our current best view of the world, which shows us again, with the first quarter having a very light lifting schedule, which has now increased. We've lifted in April, 993,000 barrels, realizing approximately post hedging and other transaction costs on those barrels of around $67 a barrel. The next lifting we have is not until early July. And then the lifting program continues from Q3 and Q4. Next slide, please. So Gabon operations update. There have been quite a few things going on. I'll touch briefly on Bourdon, which was the well that we drilled. We found 34 meters of net oil pay; the largest column discovered to date on this license. We had successful sidetrack, which encountered another decent oil column. The current estimate from the operator and Panoro is around 56 million barrels in place, 25 million barrels recoverable. We believe in the area that there are further objects that could yield further reserves in due course, subject to some additional drilling there. We've now released the rig. The rig is released and it's on its way to Equatorial Guinea to drill for Marathon. And that concludes the drilling program that we commenced last year. All the wells are on stream. Production in the quarter was around 39,000 barrels a day, which is the highest quarterly rate since inception. BW Energy also announced last night taking over of the O&M contract on the FPSO Adolo. That is expected to yield a lot of operational synergies and cost savings as compared to the previous contract, which was held with BW Offshore. This is now being undertaken by BW Energy. So there's a lot of also positive operational developments on the asset. Next slide, please. In Gabon, we've also announced recently the finalization of the 2 new blocks, Niosi and Gudum. You can see Dussafu in the orange, and you can see the light blue and the light yellow being the surrounding acreage together with BW Energy and VAALCO Energy, who operate the Etame blocks. We have now more or less surrounded the southern part of Gabon, which is just following this Gamba trend that you can very clearly see even in this cartoon. And we believe that this will continue to yield further upside in this general area for Panoro and all of its stakeholders. The planning is now underway. The next step on these particular blocks is the acquisition of new seismic data, which will probably be a 2026 event. But nonetheless, there are plans to advance the prospectivity on this acreage. Next slide, please. So in Equatorial Guinea, we have a number of blocks. We have our production block, Block G with gross production around 25,000 barrels a day on average. There's a lot of optimization projects ongoing there. The joint venture is evaluating future infill drilling campaigns here. The production in the quarter was a little bit soft to our internal budget expectations. We're working together with the operator to improve uptime on the assets, but things are going pretty well there. And then the new exciting thing that we have is Block EG-23, which you'll start hearing us talk a little bit more about. That's in the small window in the upper left there. You can see EG-23 in the light blue, and you can see all the greens and the reds around there, those are discovered material oil and gas fields, and we sit right in the middle of it. We have very, very high thoughts about this particular block, and you're going to start seeing us talk a little bit more about it. We've just entered the license. So we're just now getting the data and reworking the seismic, coming up with a fresh prospect inventory. So you see us talk more and more about this very, very exciting block. And in EG-01, which is our other exploration block, which is operated by us with Kosmos' partners, we sit just in board of Ceiba Okume Block G, the production assets there. And we are currently reprocessing the data there, looking at several interesting objects which could be tied back into the infrastructure at Block G. So Equatorial Guinea is a really kind of exciting full cycle asset for us as well. Next slide, please. In Tunisia, we've had some recent successes. There's not been terribly much activity if you followed us over the past year or 2, where activity has slowed down, but we've had some recent successes there. Current gross production is approximately 3,500 barrels a day, which is a good level compared to where we've been. So we're pleasantly surprised, pleased with the uptick in activity here. We continue to have very good HSE performance here. We recently brought a well back online around a couple of hundred barrels a day following the workover, and we have additional opportunities coming up on specifically the Rhemoura field, where we have a workover that's pending and obviously, some potential drilling campaign as well in 2026. Next slide, please. So again, zooming out, looking at the big picture Panoro with 42 million barrels of 2P reserves. We've made the Bourdon discovery, which has not been included in the annual statement of reserves that we touched on earlier, plus/minus 4 million barrels additional to Panoro and 2C resources of 26 million barrels. In Equatorial Guinea, Block EG-23, we have probably somewhere around 100 million barrels of 2C resources. Now that's unaudited. That's kind of internal view, which will have to be validated in time. But it gives you a feeling for the context of that asset in our portfolio with both gas and oil and condensate prospectivity, existing discoveries, which we believe can be tied back to infrastructure reasonably simply. Then in Dussafu, we have another 25 million barrels of un-risked prospective resource, and we have potentially much more there. So through our production activities, through our exploration and appraisal activities, we have created a portfolio here, which has a meaningful upside from here as well. Next slide, please. So the conclusion slide, just touching on again, the themes where we've got production in and around 12,000 barrels a day. CapEx has come down. We have positioned the company with material reserves and production. These are long-life assets, 100% oil weighted at the moment. We're diversified across countries that really has benefited us when one asset may be doing less well than the other, the other one step up, and we're seeing that today as well. We have all catalysts through our infrastructure-led exploration program. We have this new discovery in Bourdon, of course, but we have the new blocks that we've added in Gabon and Equatorial Guinea. And we have diversified our access to capital in support of our growth. The bond issue for us was a real statement of intent with respect to access to capital going forward. And we have maintained cash distributions and share buybacks in this period; quarterly cash distribution established and share buybacks ongoing. We've been buying back shares pretty much every day since January 2. Subject to the general meeting coming up, we intend to continue that trend as well. So I'd like to open it up for questions. Again, we will probably cut this off at around 9:30 Oslo time, just to be able to prepare for the Annual General Meeting, but we do have some time for some questions.
Operator: The first question will be from Stephane Foucaud.
Stephane Foucaud: I would have three. The first one is around this 112 million barrel to see in EG. And I wonder whether you’d perhaps provide a bit more color on maybe the most important opportunities, the timing, et cetera, would be great. That's my first one. Second, you talk about cost saving opportunities, OpEx saving opportunities in Gabon with the new operators. And I was wondering whether you could quantify that on a dollar per barrel. And last one, more of an accounting question. I saw that it seems that the cash tax, excluding profit sharing, is quite high in Q1 compared to, say, last year. And I was wondering, again, whether you could provide some color on why it is high this quarter.
John Hamilton: I'm going to ask Richard to comment on Equatorial Guinea a little bit more around that block, EG23 and the contingent resources that have sort of been preliminary identified.
Richard Morton: So a really exciting block for us. We're in the northern part of Equatorial Guinea. It's a different basin to where we're producing in the South. This area has previously been operated by Marathon and other major companies and has been subject to a number of drilling campaigns in the past 20-plus years. Some of the drilling has been successful and has resulted in a number of oil and gas and condensate discoveries. Those are currently quantified and those numbers we're quoting are from the EG government. So the official numbers held by the government. There were 7 discoveries in total, a number of oil discoveries in the north and there's one significant gas discovery just north of the Alba field, which we're very interested in. So our job at the moment is to collect all the data on the block, kind of confirm or audit the size of those discoveries and do a little bit of G&G work to get some sense of how they may be developed. So we're busy with that this year. We'll try and integrate some of those numbers into our reserves reporting at the end of the year as contingent resources and look to a possibility for early development if some of those meet the necessary criteria for bringing them online. So a very exciting project.
John Hamilton: Stephane, your question on the OpEx and BW. For this year, I don't think it's going to have a material impact on the dollar per barrel. I can't give you a very specific number on it, but I think you need to look more at the coming years. What it allows BW Energy to do is effectively have an integrated operation there of the FPSO, where we can look at synergies in terms of staffing and logistics, whereas previously, you effectively had 2 different companies, BW Offshore and BW Energy sort of effectively joint managing the operation. Now BW Energy as operator of both the FPSO Adolo and the overall oil operations can really seek efficiencies, synergies, choose timing of maintenance periods just to suit the wider operation better. So we'll have a dollar per barrel impact. I don't think you'll feel it this year, but I think you'll certainly see it as a very positive trend in future years. We'll seek to maybe try and put a little bit more detail into that. But it's a very positive development in our perspective. The cash tax, you may recall, we identified it already in our previous reporting that there was a rather chunky 2023 tax payment for the Equatorial Guinea that was made in the first quarter of this year. So that's what you've identified.
Stephane Foucaud: Usually it is being paid in Q4, correct?
John Hamilton: Yes. And I think we flagged in the fourth quarter results in February that, that had snuck into Q1.
Operator: The next question will be from Teodor Sveen-Nilsen.
Teodor Sveen-Nilsen: So congrats on a good quarter. A few questions from me. First of all, on the Bourdon development time line, what should we expect in terms of activities around that discovery? And how are your thoughts around first oil from Bourdon? Second question is on 2026 CapEx. You have indicated CapEx will come down. Of course, this year, it's much lower than previous years. But how should we think around 2026 CapEx? And my final question then is on capital allocation. Just assuming that your production stays at the current level or maybe decline slightly going forward, while CapEx is at a very low level, it looks like you will run into a net cash position in '27 or '28. So my question is, do you intend to run the company with a net cash position? Or should we expect the company to have some net debt over the next few years?
John Hamilton: I may ask Richard to step in as well, but I'll start on the Bourdon discovery, which, again, we've discovered that 25 million barrels, we think. There are other things that the technical team are looking at with these new data points we have. We have 3 new data points in this Bourdon area. We had very little well control in this area previously. We had no well control in this area before. Now we have 3 new data points, which we can then combine with the seismic data we have and have a better interpretation of the wider prospectivity in and around what we've already found. So the work is ongoing on that. I think the next stage you're going to see in Dussafu, and I think that's been well flagged by us and BW already for some time now is the next big activity in Dussafu will be bringing a rig back, perhaps sometime a year from now, let's call it, back to use the additional 4 slots on the MaBoMo production facilities. We have very, very good downhole locations in the Hibiscus South area, in particular, where we intend to put 4 new production wells using up the 12 slots on the MaBoMo platform. And while that rig is there, bringing production back up, it is likely that we'll conduct additional appraisal drilling in the Bourdon area. So I think Bourdon is kind of the second step in terms of sanctioning the development there in terms of first oil and all those things. It's still a few years out. I think the next stage really is to go after the existing kind of easier where we have 4 slots on the MaBoMo, go after that production first and then bring forward the development in Bourdon. So still a few years out on that one. Richard, have I missed anything in particular?
Richard Morton: No, I think it's a good summary. I'd just add that we already have a template for development of the Bourdon discovery. So it will be somewhat similar to MaBoMo with a platform tied back into the pipeline down to the FPSO. So we kind of have the concept already worked up. BW are looking at maybe 4 wells in Bourdon with the current understanding of resources, but we'll refine that as we go forward.
John Hamilton: 2026 CapEx, it's a little early. What we've generally guided already for quite some time on 2026 CapEx is if you kind of assume levels in and around where we are guiding for this year, it's probably a safe landing spot for the moment. The budgets for these things are not usually decided, as you know, until the third and fourth quarter when the joint ventures come together and agree budgets. But that's probably a good place to land yourself for the moment, $30, $40 million, but that's probably about a safer place to land at the moment, I'd say. Capital allocation, net cash. The way I think we like to position the company, and we've had Board meetings yesterday, and I think the way that we still like to position Panoro is that we are a solid company, solid reserves, production, distributing cash to shareholders through the framework that we've announced. But at the same time, retaining the ability to grow the company. We do think that growing at any cost is a silly thing to do. We do think that growing the business is still sensible if we can find things that are accretive for us to do either with it organically within the portfolio or outside the portfolio. So we'd like to retain the flexibility to continue to pursue growth in this company. So we don't have a mission to run this company at net cash necessarily, there's not an overriding philosophy there. We do like to have the balance sheet strength that we have created. I think the bond issue that we've done has demonstrated access to the Norwegian bond market. I think it's a very strong signal to everybody that we have a very strong balance sheet. We can withstand the ups and downs of the oil market far better. So we just have to see how that goes into 2027 -- you mentioned ’27, ‘28, but clearly, we do like to keep a conservative balance sheet. I think that's probably the best way I can summarize it. You won't see us massively overgearing the company. You probably won't see us running with excessive amounts of cash either.
Operator: John, that will conclude today's Q&A.
John Hamilton: Perfect. Well, I thank everybody for continuing to follow us and we look forward to continue to update you on the company's progress in the coming months. Thank you very much.